Operator: Welcome to BioNTech's First Quarter 2024 Earnings Call. I would like to hand the call over to Dr. Victoria Meissner, Vice President of Strategy and Investor Relations. Please go ahead. 
Victoria Meissner: Good morning and good afternoon. Thank you for joining BioNTech's First Quarter 2024 Earnings Call. As a reminder, the slides we will be using on this call and the corresponding press release published this morning, can be found in the Investor Relations section of our website. 
 On the next slide, you will see our forward-looking statements disclaimer. Additional information about these statements and other risks are described in our filings with the U.S. Securities and Exchange Commission. Forward-looking statements in this call are subject to significant risks and uncertainties and speak only of the date of this conference call. We undertake no obligation to update or revise any of these statements. 
 On Slide 3, you can find the agenda for today's call. Today, I am joined by the following members of BioNTech's management team. Ugur Sahin, Chief Executive Officer and Co-Founder; Ozlem Tureci Chief Medical Officer and Co-Founder; Jens Holstein, Chief Financial Officer; and Ryan Richardson, Chief Strategy Officer. 
 With this, I would like to hand over to Ugur. 
Ugur Sahin: A warm welcome to all those joining us today. We believe that we are entering a transformational period for BioNTech. We have founded BioNTech with the vision to discover and develop scientific breakthrough that harness the immune system to fight diseases and bring new medicines to patients. 
 In the years following our establishment we developed various therapeutic platforms, demonstrate the safety and clinical effectiveness of various drug candidates in early clinical trials. The period from now to 2030, is about forecasting this candidate into late-stage development and registrational trials to become a multiproduct company with the first product to be delivered by our late-stage oncology pipeline. 
 We are continuing to execute this vision and our strategic priorities with its intense focus. In the first quarter, we progressed our late-stage oncology pipeline on multiple fronts. We dosed the first patient in the pivotal Phase III clinical trial, evaluating our HER2 ADC BNT323 in HR+/HER2-low metastatic breast cancer. 
 At the AACR annual meeting, we presented 3-year follow-up data from a clinical trial evaluating our individualized mRNA cancer vaccines, autogene cevumeran in pancreatic cancer. This data showed encouraging relapse survival in certain patients with immunogenic response to the vaccine, demonstrating the promise of our vaccine platform to induce persistent de novo neoantigen-specific T cell responses that correlate with improvements in survival.
 We have also taken significant steps for our first launches in oncology. Annemarie Hanekamp, an accomplished leader with a remarkable track record is joining our team in July to drive and execute our global commercialization strategy. We appointed a General Manager in the U.S., who has commenced building out our commercial operations in the U.S. and we appointed further expertise in our global commercial team. 
 For our COVID-19 vaccine franchise, we initiated preparations to be on track to introduce a new variant adapted COVID-19 vaccine for the upcoming season. We have received preliminary strain selection recommendations from the World Health organization and European Medians Agency and plan to submit for regulatory approval later this month. 
 Today, Ozlem and I will focus on our oncology strategy, while Jens and Ryan will provide updates on our financial and corporate progress. Slide 6. Our oncology portfolio strategy is driven by understanding the key challenges in cancer. Cancer is genetically diverse and heterogeneous disease driven by the substantial acquisition of mutations. One consequence of this is that many treatments have an initial effect but are not associated with long-term remission or cure. 
 Our aim is to provide solutions across the continuum of cancer disease and establish new treatment paradigms. We believe our cancer vaccine candidates are particularly suited for early intervention, while thoughtfully designed combination treatments are intended for advanced and high-volume tumors. We want to bring our therapies to as many patients as possible, and we want to use the potential power of our platforms alone and in combination. 
 Slide 8, our therapeutic strategy brings together synergistic mechanisms of action across 3 key categories. The first are novel Immunomodulators or IO, which are designed to engage the immune system overcome cancer mediate immunosuppression and amplify immune responses. Second, targeted therapies, which include CAR T cell therapies and antibody drug conjugate that can dramatically reduce the tumor burden. 
 The third category are mRNA vaccines, which are the centerpiece of our oncology strategy. Our mRNA cancer vaccines are designed to target multiple cancer antigens in parallel and can be individualized for each patient. 
 BioNTech was built from the very beginning as a technology-agnostic company. We do not limit ourselves to any one technology. We're interested in addressing unmet medical needs with the best possible solutions. Having a diversity of assets in our pipeline, we are positioned to pursue combination approaches that are proprietary and unique. 
 This strategic advantage allow us to evaluate the activity of each individual compound and enables us to determine those patient population for which monotherapy or the logistic combinations are best suited. The potential for synergy in this combination is significant, enabling us to design treatment regimens that could lead to improved patient outcomes and broaden the scope of therapeutic options. 
 We believe that our strategy has the potential to address fundamental challenges of cancer and to drive meaningful improvements in the long-term survival rates for patients. Slide 9, to reiterate, we are entering a transformative period for BioNTech specifically in the development of our oncology pipeline and the formation of our oncology business, which will continue to evolve over the next few years. 
 In 2024, we are aiming to increase the number of potential pivotal trials across our lead programs to 10 or more by year-end. This trial will focus on areas of unmet medical needs, clinical indications in which we may achieve an expeditors path to market. And there after the first approval in the initial indication, is a high potential for expanding the market opportunity to additional indications. 
 Starting in 2025 and continuing into the following years, we expect to enter a period reached with pivotal data that if positive, could support regulatory submissions for marketing authorization across our pipeline. We have begun building a fully integrated oncology organization to support our transition into a global multiproduct company. This process will be accelerated this year as we bring our new Chief Commercial Officer on board. 
 Ultimately, we are building our organization to support multiple oncology launches beginning in 2026. 
 With that, I would like to thank you all for your ongoing support. I will now turn the call over to Ozlem. 
Özlem Türeci: Glad to be speaking with everyone today. As Ugur highlighted, we will focus in the next few years on increasing the number of potentially pivotal clinical trials to fuel our transition towards becoming a multiproduct company by 2030.
 In oncology, we have already started to execute against this goal. This is why you can see that the late-stage part of our pipeline on this slide is enriched and populated with multiple trials that feature our priority assets such as our mRNA vaccine and also our most advanced ADCs and [ IOs ], including those which we consider as attractive backbone of unique combination treatments. 
 To highlight recent additions to our pipeline. One is the Phase III trial in collaboration with Duality Bio, evaluating BNT323 in patients with hormone receptor positive and HER2-low metastatic breast cancer that has progressed on hormone therapy and/or cyclin-dependent kinase 4/6 [ broken ].
 With BNT323, we are also planning to start a confirmatory Phase III trial this year in patients with metastatic endometrial cancer that will complement our ongoing single-arm trial in this indication. In our early-stage pipeline, we have started a Phase I/II trial in collaboration with Genmab evaluating BNT314 a bispecific antibody product candidate was EpCAM-dependent 4-1BB agonistic activity in light of the solid tumors. 
 Our aim is to continue to progress our oncology pipeline towards pivotal data readouts and submissions for regulatory approval in the next 18 months. Before highlighting some of the programs and platforms that we consider priority assets to contribute clinical progress, let me say a couple of words to execution. 
 The coming years worthy about late-stage clinical trial execution, enrolling the patients to participate in clinical trials requires the coordination across multiple functions within our company and with our partners and collaborators who are integral part of our global trial execution approach. 
 As we and our partners have increased the number of ongoing late-stage trials we have also drastically increased the number of patients that participate in trials, generating data for our fully owned and partner product candidates. 
 Comparing the average quarterly number of patients enrolled across the last few years here on this slide, on quarterly average in 2022 through the first quarter of 2024, we have increased the number of patients enrolled by over 400%. 
 On the back of this significant increase in enrollment and tug progress in clinical trial execution, we expect our clinical development pipeline to generate the corresponding increase in the number of data sets in the coming years. 
 Our ultimate goal at BioNTech is to bring our database scientific breakthroughs to patients in need. Moving to our priority assets. Let me start with BNT327 or PM8002, a bispecific antibody, consisting of an anti-VEGF-A [ SC silence IGG ], fused to a humanized anti-PD-L1 VHH binder being developed in collaboration with our partner, Biotheus. BNT327 combined 2 validated mechanisms of action. VEGF A binding inhibits the VEGF A, VEGF-R access, blocks tumor angiogenesis, which leads to reduced tumor cell proliferation and survival. VEGF A inhibition also counter formation of the immunosuppressive tumor microenvironment as does the PD-L1 arm of its bBispecific antibody by rewarding PD-L1, PD-1 axis mediated T-cell exhaustion.
 With PD-L1 arm also anchors this antibody to the tumor [ badge ] for efficient and localized scavenging of VEGF A, which may contribute to mitigate off tumor on target side effects, data from ongoing Phase I/II clinical trials across several indications in over 600 patients executed by our partner Biotheus have shown a favorable safety profile. 
 Our partner Biotheus presented selected examples of this compound's performance in 2023, showing strong single compound activity and high response rates in combination with chemotherapy in triple-negative breast cancer and small cell lung cancer. In first-line TNBC in combination with nab-paclitaxel, almost 80% objective response rate, as shown on this slide. 
 At ASCO now there will be more data disclosures and cervical in ovarian cancer and in non-small cell lung cancer. An investigational new drug application has been accepted by the FDA for further studies in the United States and we plan to start global trials in several indications this year.
 One area that we'll see increased development activity in the coming years will be our mRNA cancer vaccine candidates. mRNA cancer vaccines are the centerpiece of our pipeline and are pivotal to our goal of developing breakthroughs for cancer patients. The aim is to develop this technology as monotherapy in combination with standard of care and in combination with candidates from our proprietary pipeline.
 Our FixVac vaccines used sets of multiple antigens shared by patients across one tumor type. iNeST our individualized vaccine program partnered with Genentech identified neoantigens derived from cancer mutations that are unique to an individual tumor. While iNeST and FixVac target different types of cancer cell antigens, they are based on the same mRNA and delivery technology, namely our uridine and mRNA Lipoplex platform.
 Its distinct mechanism of action is that the delivered antigen is presented by professional antigen-presenting cells and lipid compartment body-wide in close proximity to T cells to be induced and that it comes with intrinsic adjuvanticity. These features by design from auto induction of higher magnitude T cell immune responses that we have been detecting in all our clinical trials across tumor types and for various types of targeted cancer set antigens as shown on the right-hand side of this slide. 
 On the next slide, you can see exemplary data from different trials in different treatment settings and tumor types in which we are evaluating our neoantigen-based individualized cancer vaccines, including several years of follow-up. Our mRNA-based neoantigen vaccine has demonstrated the ability to induce de novo neoantigen-specific polyfunctional, polyspecific and persistent T cell responses at substantial magnitude in high proportions of treated patients, frequently against tumor antigens that were overlooked by the patient's immune system, so-called de novo immune responses. 
 We have shown that our vaccine-induced T cells persist over years and built immunological memory. And the 2 papers quoted on this slide, we have shown that vaccination with neoantigens encoding mRNA is associated with reduction of recurrences in patients. The favorite setting for developing our individualized vaccines are patients that have minimal residual disease or require adjuvant treatment to reduce the probability of recurrent. 
 Today, we have iNeST and FixVac trials in multiple disease settings and indications and data releases from several of the trials shown on the slide upland. In our FixVac program, we are evaluating 4 vaccine candidates, which each target tumor-associated antigens specific to melanoma, HPV16+ head and neck cancer, prostate cancer and non-small lung cancer, as monotherapy and in several combinations. 
 We shared early data for all FixVac candidates in the past years and plan to present additional data within next year. Further, we plan to start an additional trial with iNeST in the adjuvant setting with our collaborator Genentech. I would like to highlight 3 of these programs that are on our priority list. Two programs using our individualized cancer vaccine and cancer types that have a low tumor mutational burden and are resistant to immune therapy, namely colorectal cancer and PDAC and our NSCLC FixVac program. 
 Starting with CRC with colorectal cancer. The majority of patients with early-stage localized and resectable CRC under more surgery followed by adjuvant chemotherapy standard of care in stage II high risk and Stage III disease after acumen treatment is record full weighting, 20% to 35% of patients experience recurrence of their disease. 
 ctDNA is a marker for minimal residual disease and identified patients with high risk of such recurrence. We are running a Phase II trial with our individualized vaccine in stage II high-risk and Stage III resected CRC patients that are ctDNA positive port surgery. After adjuvant chemotherapy patients are randomized to either receive autogene cevumeran or individualized vaccine or observations. We expect the first readout of this trial in the second half of 2025.
 Secondly, a randomized Phase II clinical trial evaluating our individualized vaccine in combination with the anti-PD-L1 agent, atezolizumab, followed by standard of care chemotherapy in patients with resected pancreatic cancer, the PDAC compared to chemotherapy alone was started in collaboration with Genentech in 2023 and is recruiting patients. PDAC is a high medical need tumor expected to become the second leading cause in cancer-related death, up to 85% of patients with localized pancreatic cancer that undergo surgical resection and adjuvant chemotherapy do experience recurrence of disease.
 This trial was initiated based on data from an investigator-initiated trial that were published last year and updated at AACR a few weeks ago. That Phase I trial showed that with our individualized vaccine combined with atezolizumab and standard of care adjuvant chemotherapy half of the 16 treated patients develop high-magnitude vaccine-induced immune responses and that these patients have a much lower risk of tumor recurrence at 1.5 years of medium follow up and continue to do so after a 3-year follow-up period. 
 Moving to our off-the-shelf tumor-associated antigen-based mRNA cancer vaccine candidate, BNT116. BNT116 is an RNA lipoplex cancer vaccine candidate comprising 6 mRNAs, each including a tumor-associated antigen, Mage-A3, CLDN6.
 KK-LC-1, PRAME, MAGE-A4, and MAGE-C1. We have selected these tumor-associated antigens by an [ initial ] approach developed for design of FixVac vaccines for different tumor types. And based on low or lack of expression in toxicity relevant orders, expression and a substantial fraction of lung tumors of various histologies, immunogenicity and tumor biological role. 
 About 85% of and NSCLC specimens express at least 1 of the 6 selected tumor-associated antigens and more than 60% expressed at least 2 of them. BNT116 is currently being evaluated with our partner Regeneron in 2 clinical trials that cover various non-small cell lung cancer patient population. One is the Phase I trial, investigating BNT116 in adjuvant first-line and second-line tapsettings and various treatment regimens assisted on the left side of the slide. 
 We plan to introduce another unique combination cohorts into this multi-cohort Phase I trial. The second trial is a randomized Phase II, evaluating BNT116 in combination with cemiplimab in first-line treatment of patients with PD-L1 high expressing non-small cell cancer shown on the right side of the slide. 
 At AACR, we presented preliminary results from Cohort 3 of LuCa-MERIT-1, Phase I trial evaluating BNT116 in combination with docetaxel in patients with advanced unresectable or metastatic non-small cell lung cancer that progressed on PD-1, PD-L1 inhibitor and platinum-based chemotherapy.
 Combination treatment with BNT116 and docetaxel was active with an overall response rate of 30%, a disease control rate of 85%, median progression-free survival of 4.4 months, comparable to other FixVac candidates, BNT116 presents a manageable safety profile alone and in combination. 
 We expect further data from these cohorts in the next 12 months and that will inform further development of BNT116 in Lancet. The ASCO Annual Meeting is right around the corner. At ASCO, we and our partners will present new clinical data for several of our programs, data that is of relevance for making informed decisions about the direction of those project development. 
 Firstly, we and Genmab plan to present data for BNT311 from our Phase II and post-IO non-small cell lung cancer patients. BNT311 is a bispecific antibody candidate combining PD-L1 checkpoint inhibition with 4-1BB costimulatory activation. Second, as already mentioned, monotherapy data from Phase II trials are planned to be presented for BNT327, the bispecific anti-VEGF-A, anti-PD-L1 antibody we are developing in collaboration with Biotheus. 
 Third, we and our partner, MediLink plan to present first in human data for our free targeting ADC. Then we will also present epidemiologic data, including post-operative ctDNA prevalence and prognostic value from a non-interventional observational study in patients with resected high-risk stage II, stage III colorectal cancer that supports and informs the development of our individualized vaccine in this patient population.
 And lastly, for BNT211, our CAR-T cell product candidate, we plan to initiate a potentially registrational trial in patients with germ cell tumors. At ASCO, we will present real-world evidence of overall survival and treatment patterns of this patient population in the U.S. that will inform the trial design for our Phase II trial.
 With that, I will now pass the presentation to our CFO, Jens Holstein. 
Jens Holstein: A warm welcome to everyone who has dialed in today's call. Let me begin my section with some key financial figures for Q1 2024. In the first quarter of 2024, we reported total revenues of approximately EUR 188 million driven mostly by commercial revenues from the sales of our COVID-19 vaccine. This revenue figure is consistent with our internal expectations for the period and reflects the seasonality that we expect in endemic environment for our COVID-19 vaccine.
 Our group revenues will continue to be driven largely by the uptake of our COVID-19 vaccines until oncology revenues will be recognized. We expect to recognize approximately 90% of our full year revenues in the last month of 2024, mostly in Q4.
 In terms of our operational spending, we are also in line with our internal plans and ended the first quarter with a loss before tax of EUR 332 million. We maintained our strong financial position with EUR 16.9 billion in total cash plus security investments at the end of the quarter. As mentioned by my colleagues before, we started the year making real progress across our oncology pipeline. We dosed the first patient in our second pivotal Phase III trial and are on track to start multiple additional potentially registrational trials this year.
 Our focus remains on our late-stage clinical trials and to invest in our mRNA platform approaches that represent the core capability of BioNTech and differentiates us from others in the industry. We also continue to invest in our leading and profitable COVID-19 vaccine business.
 Alongside our partner, Pfizer, we are working on variant-adapted COVID-19 vaccines for the upcoming vaccination season. We also continue to invest in our leading and profitable COVID-19 vaccine business. Alongside our partner, Pfizer, we are working on variant-adapted  COVID-19 vaccines for the upcoming vaccination season.
 We are also investing in a COVID-19 flu combination vaccine candidate, which we expect to potentially drive additional demand as approved.. Bolstered by our strong cash position and stringent cost discipline, we will continue to invest in our pipeline and are well positioned to achieve future sustainable growth.
 I'll now be going into a little more detail on our financial results for the first quarter of 2024. As noted earlier, our total revenues reported for the first quarter of 2024 reached EUR 188 million compared with approximately EUR 1.3 billion for the first quarter of 2023.
 Moving to cost of sales. These amounted to EUR 59.1 million for the first quarter of 2024 compared to EUR 96 million for the comparative prior year period. Research and development expenses reached EUR 508 million for the first quarter of 2024 compared to EUR 334 million for the comparative prior year period. The increase was mainly due to progressing clinical studies for our oncology pipeline and related personnel expenses to manage those.
 Sales and marketing expenses of EUR 16 million impaired in the first quarter of 2024 compared to EUR 12 million in the comparative prior year period. General and administrative expenses amounted to EUR 117 million for the first quarter of 2024 compared to EUR 112 million for the comparative prior year period. The increase in SG&A was mainly due to increased expenses for IT services as well as an increase in head count to support the scaling of our business.
 Income taxes were realized with an amount of EUR 16.7 million for the first quarter of 2024 compared to EUR 205.5 million of tax expenses for the comparative prior year period. The derived effective tax rate for the first quarter of 2024 was approximately 5% applicable on the negative income. For the first quarter of 2024, we reported a net loss of EUR 315 million compared to a net profit of approximately EUR 502 million for the comparative prior year period.
 Our loss per share for the first quarter of 2024 amounted to EUR 1.31 compared to a diluted profit per share of EUR 2.05 for the comparative prior year period. As indicated earlier this year, 2024 is a year for our company during which we will continue to invest in our long-term growth strategy.
 We aim to have potentially 10-plus trials running by year-end 2024, which we believe will change the picture of the company going forward. Besides having a strong franchise in [ fetches ] diseases, we aim to have multiple oncology products reaching the market by 2026 onwards.
 Turning to the next slide, I would like to emphasize that we have reiterated the company's financial guidance for the 2024 financial year. As mentioned previously, we expect to recognize approximately 90% of our full year revenues in the last months of 2024, mostly in Q4. Additionally, we also reiterate our R&D and SG&A guidance from our year-end call with EUR 2.4 billion to EUR 2.6 billion for R&D and EUR 700 million to EUR 800 million for SG&A expenses. Those expenses are expected to gradually increase quarter-by-quarter until year-end.
 With that, I would like to turn the call over to our Chief Strategy Officer, Ryan Richardson, for an update on our strategy outlook and concluding remarks. 
Ryan Richardson: We are working with Pfizer to be ready to launch our variant-adapted COVID-19 vaccine in the second half of the year upon regulatory approval. Consistent with the WHO's recommendation. We expect that the updated vaccine will encode the JN.1 variant and will be monovalent. As of April 2024, over 90% of SARS-CoV-2 genetic sequences and publicly available databases were derived from the JN. 1 variant.
 In 2023, we received strain inclusion recommendations from the WHO and other advisory committees in May and June and were granted approval in late August and September. This year, the time lines for strain selection and those anticipated for approval are expected to come earlier. The WHO and EMA have already received strain recommendations and expect additional regulatory updates in mid-May.
 We expect approval in the EU and FDA could come in late July and August, respectively. If this occurs, it could enable an earlier launch of vaccines relative to last year to support full vaccination campaigns.
 We are preparing to launch the variant-adapted COVID-19 vaccine in over 80 geographies worldwide. While most regions outside the U.S. will continue to be served by government contracts, we do expect some new private markets in regions like the U.K. to open in 2024. This could enable individuals who may not qualify under existing immunization recommendations to access updated COVID-19 vaccine should they choose to do so.
 Turning to the next slide. Our aim is to create value for patients and shareholders by delivering sustained longterm growth and our strategy is to continue to invest in our technology platforms and diverse pipeline. We believe each of the drug classes we are investing in contain product candidates that aim to address major unmet needs and could unlock significant commercial potential.
 We are entering a catalyst-rich period over the next 12 to 24 months with data updates expected for more and more product candidates across each of these classes. We look forward to disclosing additional pivotal trials and more details on our go-to-market strategy for selected programs in the months ahead.
 To conclude on the next slide, our aim is to transform medicine through successive wave of innovation. We remain focused on our near-term goal to have 10-plus potentially registrational trials initiated by year-end 2024 and to continue to ramp up our commercial readiness activities.
 Over the midterm, we aim to enter the commercial stage in oncology by 2026 with our first product candidates while advancing our pipeline of late-stage and novel combination therapies.
 Longer term, we aim to broaden our portfolio of approved products and transform BioNTech into a diversified multiproduct immunotherapy company that is in a position to redefine medicine. We are truly excited by the potential our technologies and pipeline hold to make a difference for patients around the world.
 Before opening the floor for questions, I would like to highlight on the next slide, important investor events we will be holding this year. Our Annual General Meeting will take place on May 17, and our inaugural artificial intelligence and machine learning event will take place on October 1. Our main 2024 Innovation Series event is planned for November 14. We will share further details on these events in due course.
 With that, I would like to open the call for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Tazeen Ahmad from Bank of America. 
Tazeen Ahmad: For the data that you're going to be presenting at the upcoming ASCO conference as it relates to the Genmab compound, can you just remind us how many patients worth of data to expect? And once that data is presented, can you talk to us about the next steps in the development plan for that program? 
Özlem Türeci: The first question was about the number of patients which we will present for the second-line non-small cell lung cancer trial with BNT311. Did I get that right? 
Tazeen Ahmad: Yes, that's right. 
Özlem Türeci: So that will be -- I cannot tell you the specific numbers from the top of my head, but these will be around 100 patients, so a substantial number of patients. 
Tazeen Ahmad: And also what level of detail should we expect to see? 
Özlem Türeci: So you will see safety data, the activity data, which we have until then and ORR data. 
Tazeen Ahmad: Okay. And what is the plan moving forward with this program? 
Özlem Türeci: We are in the planning phase with our partner, Genmab, so that we cannot disclose any specifics at this time, but you will hear more about this program sometime later this year. 
Operator: [Operator Instructions] And your next question comes from the line of Daina Graybosch from Leerink Partners. 
Daina Graybosch: I have another one on ASCO. So I wonder if you could talk more about the data we should expect from PM8002 at ASCO. And also, if you could talk about how this molecule compares to the competitor from Akeso Summit, which also is a bispecific of VEGF, but targeting PD-1 rather than your PD-L1. How much read-through positively can we take from the Akeso data to yours and from yours to the Akeso data for the overall approach? 
Ugur Sahin: So we have, at the moment, the clinical target running in multiple indications, including also indications with single arm and combination. What we are going to update is on ASCO is on the cervical cancer, and platinum-resistant ovarian cancer and non-small cell lung cancer.
 And you will see response data and safety data in this cohort. Just to remind you, we have presented already response data on the combination in triple-negative breast cancer and small cell lung cancer, which are very encouraging, showing also responses in the PD-L1 or cold tumors, PDL-1 negative or cold tumors.
 And we expect to present similar data now for non-small lung cancer. Of course, we do not have direct comparison competitive data with Akeso, but I think the data that we are seeing goes into the same direction and this bispecific and that means direct targeting of the PD-L1 access plus VEGF access is -- appears to be associated with a better response rate as well as a better safety profile as compared to anti-VEGF treatment.
 So we are very excited about using these compounds as combination -- a combination of our approach for chemotherapies and in the upcoming future for ADCs. 
Operator: And your next question comes from the line of Akash Tewari from Jefferies. 
Akash Tewari: This is more high level. But in the past, I know the team has tried to position BioNTech as an earnings growth story. With that in mind, what is the best estimate for BioNTech returning to consistent profitability. Is this something that should occur once COVID flu enters the market? Or is this more tied to your oncology pipeline?
 And then separately, would you look to work with the large cap partner to launch your ADCs and broader oncology pipeline? Or would you look to build that commercial sales force internally? 
Ryan Richardson: I'll start with maybe the second part of it. I think strategic partnerships have been one of the hallmarks in oncology early on and also with COVID-19. And I think, we will continue to evaluate partnerships asset by asset to see if that could help us accelerate certain assets, broaden their reach geographically or even help us reach profitability sooner for specific assets where there might be a partner that brings infrastructure that's relevant.
 Generally speaking though, we do -- now we have a strong balance sheet. We do want to retain more of the economics as a general matter of strategy. So I think that those partnering decisions are going to really be made on an asset-by-asset basis, while at the same time, we do commit to actually build a commercial presence in oncology in the major markets. And so that is going to be a priority over the next couple of years.
 I'll let Jens speak a little bit to the profitability point, but I'll just say high level at the outset that we do see, as you've alluded, that there's an opportunity here with the pipeline that we're building and advancing now into late-stage studies to deliver long-term sustained growth, driven by successive product launches.
 We've indicated 2026 as a significant time point in those plans, but really, the plans go beyond that, and that's why we put out the target of having 10 approval in oncology by 2030, highlighting that we do think that, that revenue growth can come from multiple indication approvals and multiple products.
 And so that -- our priority is to get on that long-term growth trajectory and, of course, being profitable is important. But the focus right now is really getting on that growth trajectory. 
Jens Holstein: Thanks Ryan, I think you made the most important statement already. So I mean if you look into the revenue development going forward, of course, we see some potential upside when we have a COVID flu combination within the market. And how big that upside could be, we are not 100% clear yet. We haven't given any guidance for '25 in the ongoing years for that combination. We're going to see how it evolves. In terms of our spend, I think we have shown that we control the costs as good as we can as sensible as it is.
 We want to create value in investing in our oncology portfolio. And to lift it, I think Ryan made the statement already. We are looking, of course, to have some partners here and there regionally to lift the value going forward. But we are very optimistic in terms of the growth that we have in front of us as a company. 
Ryan Richardson: Yes. And I think -- so what you're hearing from us, Akash, is in the very short term, we do think that the COVID combination vaccine with flu, if successful, the profitability is going to be dependent in part on Covid vaccination rates, and that's one of the near-term drivers that has the potential to bring those rates up. 
Operator: Your question comes from the line of Jessica Fye from JPMorgan. 
Jessica Fye: Coming back to BNT311 and the ASCO update, which regimen would you focus us on? And what element of the profile do you expect to best showcase the product's efficacy, and related to that, what's the right benchmark to compare that efficacy metric to? 
Özlem Türeci: So the regimen we will be presenting will be a combination of BNT311 with pembrolizumab in second line non-small cell lung cancer and the post-CPI population to which you would then need to compare this regimen. 
Jessica Fye: Maybe I'll just throw in one more. Can you recap a hypothetical list of what the 10 potentially registrational trials running by year-end might be? I imagine you contemplated a few scenarios here, but maybe you could throw out an example or two? 
Özlem Türeci: [indiscernible] trials we are trying to activate or do you want examples. Is this the question? So we have several of them activated. One example is the BNT316 trial, our cooperation with OncoC4 an entire CTLA-4, which is in non-small cell lung cancer in PD-1, PD-L1 experience in Phase III. Another trial, which is potentially registrational is our breast cancer trial in HER2-low breast cancer with BNT323, also Phase III, which has started early this year. Then in this priority asset list, we have trials with autogene cevumeran, the individualized vaccine, we are codeveloping with Genentech Roche.
 One example is our colorectal cancer trial, which will read out in around 2026. Another example is our adjuvant pancreatic cancer trial. Additionally, we will activate trials with BNT327, so the PD-L1, VEGF compound, we have talked about earlier. So these are several of the examples of potentially registrational trials, we would like to activate by end of this year.
 One very exciting one, I should also list here, which is our trial with our CAR-T cell, CLDN6 CAR-T-cell in testicular cancer. 
Operator: And your next question comes from the line of Yaron Werber from TD Calin. 
Unknown Analyst: This is [ Brendan ] on for Yaron. Just a quick one from us actually on the infectious disease pipeline. It looks like we're going to have a Phase I update from the shingles vaccine sometime this year. But I wanted to also see where you're at with enrollment and potential timing to data for maybe malaria, HSV and TV programs and kind of if there's any notable updates on how you're prioritizing this part of the pipeline? 
Ugur Sahin: Yes, we will provide data updates actually on the HSV-2 car on the TB tile on the malaria time, which created safety and immunogenicity data in a Phase I and are proceeding now into a Phase II setting, and the data will come at various events until end of this year. 
Operator: The next question comes from the line of Etzer Darout from BMO Capital Markets. 
Etzer Darout: Just another bigger picture strategy question around oncology. The fact the early combination approaches rely on external molecules, but just curious about the strategy for moving combinations of internal assets, particularly combinations of immunotherapy and targeted therapy assets, moving those into proof-of-concept studies and when we could start maybe seeing some of those emerge. 
Ugur Sahin: Yes. Excellent question. This is actually one of the [ strengths ] that we would like now to activate. So the first type of combination ties with internal assets is CLDN6 CAR-T cell therapy with a vaccine. We have recently reported data shown indeed synergy between the 2 of the combination, increasing the persistence of T cell. We will see start end of this year, the first combination price of our ADC compounds with our IO portfolio.
 And actually, 2025 will be an intense year where we will do multiple combination price dedicated to a contribution of components price and safety assessments to bring us into the position to go into first registrational price in our convert in the second half of 2025. 
Operator: And your next question comes from the line of Terence Flynn from Morgan Stanley. 
Terence Flynn: For BNT122, it sounds like it was on your list of registrational trials. So just wondering for the data next year from that Phase II CRC trial, what you'd need to show on an efficacy basis to consider filing for an accelerated approval. And then again, I noticed you had an ASCO presentation on some epidemiologic data here. Again, just what are you expecting to show there at ASCO? Or what would be the key learnings? 
Ugur Sahin: Yes. So this study is sufficiently powered Phase II study. It is in a patient population of colorectal cancer patients who are ctDNA positive. Multiple epidemiological studies have shown that this patient population have a very poor prognosis -- actually -- and PFS in this patient population after surgery is around 12 months, after chemotherapy its around 7 months. This is actually an early metastatic patient population, and the clinical trial compares standard of care, which is adjuvant chemotherapy in this patient population versus standard of care followed by the personal [ SXC. ]
 The clinical care end plant is disease-free survival. And we expect and the endpoint analysis for this prior, in the second half of 2025. The tide is enrolling as expected at the moment. And of course, this is all what you can say everything else will depend on the totality of the data. 
Ryan Richardson: Do you want to say a few words about the epidemiological study at ASCO? 
Özlem Türeci: Yes, I can do that. So what we will present at ASCO is an epidemiological study. So it's not a treatment study. And we have conducted this epidemiological study in order to better understand the prognosis of those patient populations. We have in our ongoing clinical trial with BNT122 in particular, also of subpopulations, which are ctDNA positive because that further informs our ongoing clinical trial.
 In addition, this epidemiological trial is a prescreening trial to identify patients to recruit into our investigational trials. So you will get, in particular, epidemiological data of CTDNA positivity rates in high-risk populations in colorectal cancer and the disease-free survivals which are seen in this subpopulation. 
Operator: Your next question comes from the line of Ellie Merle from UBS. Okay, due to no response, I will go to the next question. Your next question comes from the line of Bill Maughan from Canaccord. 
William Maughan: So as a technology-agnostic oncology company who has not yet gotten into radiotherapy, do you see the excitement recently in that field as warranted? And if so, could we expect BioNTech to potentially get some stake in radiotherapy combination or technology by partnership or just bringing it internally? It seems like a lot of the deal sizes recently could be in the range that BioNTech could look at? 
Ugur Sahin: Yes. So indeed, value immunotherapy is reaching our maturity. This is one of the aspects that we are following. We are currently not looking for opportunities for in-licensing, but some of the research that we are doing internally could go into that direction. We could talk about this end of this year when we have validation data. 
Operator: And your next question comes from the line of Hartaj Singh from Oppenheimer. 
Hartaj Singh: I just want to ask a question on the slide where you listed the average quarterly patient enrollment. Over the last couple of years, we've seen actually a real difficulty with companies in oncology, just because of the vast number of trials going on in oncology and IO recruiting patients. I mean you've seen a really nice acceleration from 2022 to '23 in the first quarter of '24. So can you just put some color behind that or meat on the bone of what exactly are you doing? Is it just the ability to -- the trials getting RV approved more trials actually moving ahead to late stage, maybe spending more patients on recruiting trials at site. I'd love to hear that.
 And then how does this change your thinking on potential readouts? I mean -- it's nice to see the improvement in enrollment, but how does that translate to when readouts could actually happen? 
Ugur Sahin: Yes. Let me take the first part of the question. So in the time line of 2020 to 2022, 2023, of course, we dealt with early clinical trials, which are typically recruiting a lower number of patients and defining based on those escalations of cohorts, safety assessment, biomarker assessment and so on. And we are now reaching a phase where we are multiple ties in Phase II and first clinical trials in Phase III, which naturally allow us to enroll faster and ensure that we get the statistics. 
 This is also the reason why we are now are able to move multiple clinical trials into registration trials end of this year. And for all of the registrational trials, we will provide the time line then we expect to read out.
 As Ryan alluded the first read out for our first potential registration trial is in [ endomesrial ] cancer, will be will be next year, second half of -- or mid next year with the opportunity to get authorization end of next year. And we will have multiple internal read outs for -- to be presented at ASCO and ESMO and City this year on the current year running cohorts. 
Özlem Türeci: If I may add to that, you have pointed out quite correctly that patient recruitment becomes more and more difficult. We are in the fortunate situation that we have a richness of different assets and thereby a design space to choose those assets and combination trials, which can give us several hits on our target to become a multiproduct oncology company by 2030.
 But it was very clear to us from the very beginning that this also means that we have to improve our capability to execute these clinical trials. So we have invested, and this is what this bar chart shows, we have invested major efforts to mature our clinical development operations, organization and also to grow it.
 And we also have invested into models such as working with partners with our partner companies to enroll into our joint trials and public private partnership, for example, the partnership we have with U.K. in which we are building a cancer vaccine launch that and thereby mobilizing on a national level, large numbers of clinical sites. And this is basically what these numbers reflect. 
Operator: And your next question comes from the line of Ellie Merle, UBS. 
Eliana Merle: Just for your HER2 ADC, where you got breakthrough [ din ] endometrial cancer late last year, and I think you just mentioned you expect to have the pivotal data in the second half of next year, if I heard that correctly. Can you tell us a little bit more on the design of this pivotal study and also how you're thinking about the opportunity for this asset in endometrial and where it would fit in the broader landscape there? 
Ugur Sahin: [ The turning part is a single pipe ] in this population. And it is the registration will be based on safety data and response data and durability of response data. And this will be combined with confirmatory trial for which we still are in the planning phase, and we will inform, yes, in the in around 3 to 4 months about the design of the complementary trial. 
Operator: Your next question comes from the line of Simon Baker from Redbud Atlantic. 
Simon Baker: It's on SG&A. Your guidance implies an increase of between EUR 160 million and EUR [ 260 ] million this year. I would assume a large part of that is the global commercial footprint build-out. I just wondering if you could give us an idea of how that phases over this year and also '24 versus '25? Is most of the spend this year or is most of it in 2025? Some idea of the cadence of that build-out would be great. 
Jens Holstein: You should expect for '24 that we have a slight increase of quarter-by-quarter in terms of S&M cost and the G&A costs there in '24. And then for '25, likely to have a further increase in the setup. Of course, you start to hire personnel for the commercialization [ force ] to only shortly before you launch, and that will -- the timing of that will drive the spend of '25. 
Operator: Your next question comes from the line of Yifeng Liu from HSBC. 
Yifeng Liu: Just one question on your HER2 ADC in breast cancer. How do you think about the biomarker expection there when you have HER2-low and HER perhaps and whether you think about HER2 ultra low as well in the design of your pivotal study? 
Ugur Sahin: Yes. This is a good question indeed. Indeed the question is about HER2-low 1 plus 2 plus or even ultra low or even negative. So we are considering all patient cohorts in our prior design and will make a decision on the patient population to be enrolled and the patient population to be analyzed later on. In the -- for the upcoming price and will most likely report about the clinical priority signed end of this year. 
Operator: And your final question comes from the line of Suzanne  [for Tuen from VOK.] 
Unknown Analyst: This is Suzanne from VoK, which relates to business development and M&A. Last year, you were fairly active on deal-making front. So can you give [indiscernible] of what we expect going forward for this and next year. You have a lot of cash on hand, but also a lot of projects to run and many moving parts on the profitability side. So I was wondering if you're continuing to pursue similar deals and assets as previously? Or did your appetite change? 
Ryan Richardson: I think our focus this year is more on clinical execution. That said, we will be opportunistic. And if we're open to synergistic assets, but I think you can expect the general level of activity in terms of number of deals to be decreased this year. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.